Operator: Good afternoon. My name is Kyle, and I will be your conference operator today. At this time I'd like to welcome everyone to the DISH Network Corporation Q3 2015 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. Mr. Kiser, you may begin your conference.
Jason Kiser - Treasurer: Thanks, Kyle, and thanks for joining us, everyone. My name is Jason Kiser. I'm the Treasurer here at DISH Network. I'm joined today by Charlie Ergen, our Chairman and CEO; Tom Cullen, EVP of Corporate Development; Roger Lynch, CEO of Sling TV; Bernie Han, our COO; Steve Swain, our CFO; and Paul Orban, our Controller; and Stanton Dodge, our General Counsel. Before we open it up for Q&A, we do need to do our Safe Harbor disclosures. So for that, I'll turn it over to Stan.
R. Stanton Dodge - Secretary, Executive VP & General Counsel: Thanks, Jason, and good morning, everyone, and thank you for joining us. We ask that media representatives not identify participants or their firms in your reports. We also do not allow audio taping and ask you to respect that. All statements we make during this call that are not statements of historical fact constitute forward-looking statements, which involve known and unknown risks, uncertainties, and other factors that could cause our actual results to be materially different from historical results and from any future results expressed or implied by such forward-looking statements. For a list of those factors, please refer to the front of our 10-Q. All cautionary statements that we make during this call should be understood as being applicable to any forward-looking statements that we make wherever they appear. You should carefully consider the risks described in our reports and should not place undue reliance on any forward-looking statements, which we assume no responsibility for updating. Operator, we'll now open up the call first for analyst Q&A and then we'll follow it up with media Q&A.
Operator: A reminder that we'll be first taking questions from the analyst community before moving on to the media afterwards. We'll pause for a moment to compile the Q&A roster. Your first question comes from the line of Tuna Amobi from S&P Capital IQ. Your line is open.
Tuna N. Amobi - Standard & Poor's Investment Advisory Services LLC: Hi. Good morning, and thanks for taking the call. So, Charlie, it seems to be there's been some pretty significant developments on the DE front since the last call with the two DEs. And in your communication with the Bureau, with FCC Media Bureau, I'm just kind of wondering if you can update us on the core things that have transpired. And the two DEs, I'm wondering, I mean, the 10-Q alludes to potential capital raising loan exposure. So as you think about where you go from here and what also that means for your various auctions given those developments, can you summarize perhaps for us the thought process here? And separately, I don't know if Roger Lynch is on the call, but any update on the trial conversion for the OTT subscribers? In other words, what are you seeing in these past few months for the trial in funnel? And any update when you can launch your kind of dual stream or multi-stream offering? That would be helpful as well. Thanks.
Charles William Ergen - Executive Chairman, President & CEO: Okay. This is Charlie. I will try to take the first part first, and then maybe, Stan, you'll want to jump in here. But obviously, we decided to partner with DEs because that's what the world's allowed people to do. And everybody had done that in the past. So we were disappointed when the FCC ruled that the DE discounts would be disallowed. As a result of that, in discussions with the DEs and the ultimate decision that they made was to return licenses rather than pay $3.3 billion of lost discounts. And then those licenses will be re-auctioned at some other point. Our thought process is that we will participate. We plan to participate in the re-auction of those licenses. And the DEs will decide whether they – they have filed a notice to appeal the decision. So there is still about $2.5 billion of discounts at issue with the FCC. They have filed a notice of appeal. It will be up to them as to whether they appeal. I think when I look at it, I think they have a strong case, and I'm confident that they followed the rules. And so that's kind of the state of that, but there's not – to make sure people understand, the risk is, the current risk now is that the licenses would be re-auctioned and the DEs would owe the difference between the auction price that they bid and the auction price that the licenses actually go for. So I think we disclosed the maximum exposure if the licenses were to be sold for $1, and that's probably not a realistic case. I mean, obviously, we plan to participate, and I think we would bid more than $1. And I think the valuable – that the licenses in general are pretty valuable, and I expect that they're going to go for pretty high prices. But there is some exposure, assuming that there is no – assuming that any legal resolution would be unfavorable to the DE. So that's kind of the gist of where it is. From a practical point of view, that's not something that's keeping me up at night. Stan, (6:31) leave out there?
R. Stanton Dodge - Secretary, Executive VP & General Counsel: No, I think it's a pretty good summary.
Charles William Ergen - Executive Chairman, President & CEO: And, Roger, you want to take the OTT question?
Roger Lynch - CEO, Sling TV and EVP, Advanced Technologies: Yes. Tuna, on your question about trial conversion for OTT, there's a couple of ways that we measure that. One is what we call the role to pay, so how many convert at the end of the trial. And then what we also see is subscribers who didn't convert at the end of the trial, who then come back as a paid subscriber in the next month or so. So we are seeing in line with our expectations with the conversion for OTT, and we see it really coming in those two categories. Strategically, the way we think about it is, that's a number that it can be good to be higher; it can be good to be lower, depending on your actions. So, you might take actions to drive lots of activations knowing you'll get a lower role to pay but end up with more subscribers. That's not a bad thing; that could be a good thing. So it's something that's really dependent on the promotion that we are doing. But overall it's in line with our expectations. And multi-stream, we don't have anything to announce on that.
Tuna N. Amobi - Standard & Poor's Investment Advisory Services LLC: Okay. That's very helpful. Just so, if you can allow me one follow-up question for you on just your answer you just provided, as well as, Charlie, I have a follow-up on your answer as well. So, Roger, just real quick, the conversion rates, just to get a pretty rough ballpark, would you maybe say 10%, 20%, 30%, 40%, and how is that trending, just to get an idea of this early stage? And then, Charlie, thanks very much for those answers. And one thing I was also looking for was some type of assessment of what this all means for how you view your options at this point? Thanks.
Charles William Ergen - Executive Chairman, President & CEO: Yes, I'll take that, and then I'll turn it over to you (8:24). At the end of the day, I think because of the DEs and giving back licenses and not spending another $3 billion, I think it probably leaves, at DISH, most of our options still open in terms of where we go. I mean, obviously, in general, with our DE partners, we have an interest in basically 20 MHz uplink, 50 MHz downlink of spectrum that's in high capacity – for the most part, high capacity spectrum, which they are not making any more of. And it's a pretty sweet spot in terms of frequency for the data demands that we see coming for network. So I think we are very well-positioned there. I think most of our options are still open. I think on the last conference call, I think the more – I think our thought process has shifted somewhat in terms of looking at partnering or building out with somebody else or selling their leases to licenses because we needed the FCC to – the FCC has been on a competition kind of focus for a long time, and I think the ruling against the discount didn't really help the competitive side of it. And it makes us worry a little bit about where the government is going on decisions, because obviously that decision was very beneficial to the two big incumbents. And they did a lot of stuff to help for competition, not the least of which is the reserve spectrum set aside in the 600 MHz. But that really was a bit inconsistent with that competitive message that we've heard in this administration and which they generally have held to. So we think the risk factor for us is a little greater – more standalone, let's put it that way. And OTT, before Roger answers, I think one of the things in OTT is we don't – OTT is a little different in that people can move in and out of it pretty easily because you do it all on the Internet, so somebody like Netflix sees a lot of people moving in and out generally. They don't generally do that as much on linear television. And there's also probably a seasonality to OTT that's probably maybe a little bit different than what we see in linear TV. So we don't know all those answers pretty early in the process. But OTT also, we're far enough along to know that for certain customers, particularly Millennials and particularly to people who are not in the pay-TV universe today or not in the pay-TV universe in a big way, we know that it's a pretty attractive product for them and we know that we're bringing our content partners new incremental subs that they're not able to get at any other way. So I think the future is probably pretty bright for OTT in general and hopefully for Sling.
Roger Lynch - CEO, Sling TV and EVP, Advanced Technologies: And, Tuna, you were asking for specifics. We don't release the specific numbers, but I do want to emphasize that the way we think about free trials is not just the conversion, which is in line with our expectations, but it's also once people try it, even if they don't convert, we do see a good percent that come back a month later and subscribe to the service. So for us, getting people to try the service is a big objective of ours because we know that the more people try it, the more we end up with paying subscribers.
Tuna N. Amobi - Standard & Poor's Investment Advisory Services LLC: Got you. Thanks, both.
Operator: Your next question comes from the line of Vijay Jayant from Evercore ISI. Your line is open.
Vijay Jayant - Evercore ISI: Thanks. Two questions, please. First, on Sling; any color on what the buy-ins are on the additional tiers? I mean what kind of ARPU are we seeing for the product? And second, Charlie, I think there was some talk that there could be some accounting rules that may allow you to amortize the spectrum before you really launch a service. Can you talk about that? And if that's the case, what kind of tax shields could we create from that? Thank you.
Roger Lynch - CEO, Sling TV and EVP, Advanced Technologies: Okay. I'll start, Vijay, with your question about buy-in. The add-on packs, we don't release specific numbers on them, but the add-on packs are quite popular. And you can imagine right now sports being in particular popular with college football. But I'll just talk, strategically what we see is people come in and try the service, they try out on packs. Those who stay, we do see people who throughout their tenure with us will increase the add-on packs. Some will decrease it, but we do see a net increase over time in how people take those services as their tenure increases.
Charles William Ergen - Executive Chairman, President & CEO: And I think – I'd also say with OTT, you have to realize that we're really trying to have a platform that's an alternative for our content providers to reach a market that they don't reach today or to keep a customer who may drop out of linear TV in the future. And then also an advertising model that at this point is, you know, doesn't have the DVR issues where people can skip the commercials quite as easily but also has real-time data that allows automatic ad insertion to be a totally different model for our content providers in terms of advertising, which we don't think goes away the way it might go away and the way it might be more challenging in linear TV. And also the ability to change those commercials all the time so that you're not stuck with a commercial that when people view it seven days later it becomes immaterially different commercial – different viewpoint. And also, it allows people to take their VOD library, monetize it, and allows people to watch it on multiple devices. So it becomes more competitive to the Netflix and the Amazons of the world because we give people the ability to binge-view, watching all their devices, and have more meaningful, maybe ultimately less advertising load, but more meaningful commercials. So it ends up in a way for content providers to put the genie back in the bottle a little bit and some of the leakage that we see out there from their value proposition. And they're going to have alternatives. Some people are going to go outside the pay-TV universe to new entrants as people have done with Sony or Netflix or Amazon, and some people may feel more comfortable in the pay-TV universe. But we're an alternative to that, we are building that platform and doing all the things technically that you need to do, and it's difficult. And we are not perfect yet technically, so one of the big obstacles we've had is to perform technically to the level that we can on linear TV, and we're not quite there yet, but we've made a lot of progress there and we are certainly getting closer to that. And on the – might've been another product, but I know on the amortization for spectrum, I will let Steve Swain handle that.
Steven E. Swain - Chief Financial Officer & Senior Vice President: Yes, this is Steve. We and an advisor believe the FCC granted certain spectrum rights earlier this year. These rights were a triggering event for tax amortization. So I'll just leave it at that.
Charles William Ergen - Executive Chairman, President & CEO: But I think it's fair to say we don't believe we are a net, we probably don't have a tax liability for 2015.
Steven E. Swain - Chief Financial Officer & Senior Vice President: That's correct. You can see in note four of our 10-Q, the current cash taxes paid year-to-date and with the tax amortization as well as being in an overpayment position from prior years, we don't think we are going to see a cash taxpayer in 2015.
Unknown Speaker: And to clarify, that's on a federal basis; the $15 million that Steve alludes to that's disclosed, that's state tax cash that we paid.
Charles William Ergen - Executive Chairman, President & CEO: And, Steve, just before I get to question, but when you look at the penalty that – when you look at the payment that was imposed by the FCC on the spectrum auction, I think that's probably a deductible item, too.
Unknown Speaker: And that's in the fourth quarter.
Steven E. Swain - Chief Financial Officer & Senior Vice President: That's correct. So because it's probably going to come up, a couple of notes as you update your fourth quarter estimates, things that I want to highlight from the Q. Because the FCC payment was announced and made in October, you'll see the bookkeeping for that in the fourth quarter. There will be roughly an incremental $500 million of expense on the consolidated P&L and roughly an incremental $400 million of operating cash use on the consolidated cash flow statement. And then while we're at it, one additional note, in late October, the FCC granted certain wireless licenses with the carrying value of approximately $10 billion. As these licenses are prepared for commercialization, we anticipate capitalizing interest expense related to the carrying value of these licenses, which we expect will significantly reduce interest expense in the fourth quarter.
Vijay Jayant - Evercore ISI: Great. Thank you.
Operator: Your next question comes from the line of Tom Eagan from Telsey Advisory Group. Your line is open.
Thomas William Eagan - Telsey Advisory Group LLC: Great. A follow-up also, I guess, for Roger. Last quarter, you mentioned on churn that the single stream nature of the service was a bit of an issue for subs. So, first, is that still a factor? And then I have a follow-up. Thanks.
Roger Lynch - CEO, Sling TV and EVP, Advanced Technologies: I'd say it is still an issue. I think people are a little less vocal about it than we had seen previously, maybe because people understand that it's a single stream service. But we know as a single stream service that it does have some limiting effect on the (18:36) service.
Thomas William Eagan - Telsey Advisory Group LLC: Great. Okay, and then for Charlie, separately, on Sling TV and the programmers, with the continued decline we've seen in the overall pay-TV base, and the stock pullback among the entertainment companies, have you seen an increased interest among the programmers to be on Sling? Thanks.
Roger Lynch - CEO, Sling TV and EVP, Advanced Technologies: I would say in general, yes. I mean, I think, they're obviously – were the early adopters with kind of Disney being the most open-minded about trying some new technologies and others have followed that. And I think other people are taking a hard look, obviously a lot of people have done it, deals with Sony for a multi-stream service. And so that's kind of a different model. And so I think they are getting data now on, certainly all our content providers are getting the data from us in terms of how the business is going. So I think there is renewed interest in kind of where OTT could go. Because what's happening is I think there's probably a market overreaction last quarter with kind of three years of data all kind of got – we've been talking about in our conference call, we've been talking about it in conference calls for those three years, but finally the cat was kind of out of the bag and the numbers just were too great and everybody had to kind of come clean. But those trends – the last quarter wasn't as bad as everybody thought it was. It's just those trends have been building for the last three years, and everybody kind of caught up at one time. This quarter, it's probably more representative of still continued pressure on the linear model. It's somewhat masked in the sense that what a lot of companies have done is you will take a customer with a mini bundle or a skinny bundle, and they still count as a subscriber, but their ARPU obviously goes down. So you might have some people are out there with a package of network and HBO for $15. That person still counts as a subscriber. But he's not paying the $89 average ARPU that they had before. So there's still – linear TV is still a mature to declining business, and people do want to keep customers. And that ARPU just goes down. We've taken a little bit different approach where we said let's go get new incremental customers in a declining market. Let's don't let the Millennials and the next generation not get involved in pay-TV. Let's give them a skinnier bundle of channels, but let's make sure it's attractive channels and charge for them. So that's kind of the two things that are happening out there in the marketplace. We think, Sling TV offers a pretty attractive alternative to our content providers for them to get incremental subscribers and get involved in an advertising model that's more lucrative than linear TV. So, in general, when you are able to articulate that with content, they're pretty much all interested in that. And so I think that over time, I think our goal as a company would be that we realize that we're going to lose, all things being equal, we'll probably lose subscribers in linear TV. We hope we'd gain subscribers in OTT and Sling TV. And when we put those two together, we hope that our subscriber counts grow positive in the future as opposed to negative.
Charles William Ergen - Executive Chairman, President & CEO: Right.
Roger Lynch - CEO, Sling TV and EVP, Advanced Technologies: And we hope that an OTT customer today is as valuable or more than a linear TV subscriber we would get today, because the linear model is challenged to go – this is the way I look at it, right? And other people could argue different ways to look at it, and this is probably the most conservative way to look at it. But I look at this fact that you have for a linear subscriber, I look at all the free programming you give that subscriber, and I look at that as my total SAC, right? So our SAC is a lot more than $700, because we give discounts for a year or two years, right? And our competition gives discounts. So when you look at that, you get well over $1,000 today in terms of SAC. That's point number one. Point number two is that customer, he may be in a two-year contract, but in two years, he is going to have materially different options than he has today, right? So he's going to have not only cable companies and phone companies and satellite companies as an option in two years, but he's going to have multiple OTT providers, whether it be Apple or Sony or Amazon or Sling or whatever. He's going to have multiple OTT opportunities to switch from linear television. So I think, logically, the lifecycle of a customer today in linear is less than it was three years ago or four years ago or five years ago. That lifecycle's continued to decline. So when you put all that together, we'd just take an approach that we think is more economical to move with the trends and offer alternatives.
Thomas William Eagan - Telsey Advisory Group LLC: Great. Thank you.
Charles William Ergen - Executive Chairman, President & CEO: And not be worried about whether we lose subscribers in a particular quarter, but make sure that long-term we have – that we put ourself in a position to gain subscribers, and probably more importantly, put ourself in (24:06) position that subscribers that we add and subscribers that we invest in are going to be profitable for us as opposed to just a statistic and a number on the balance sheet. I don't think that $19.99 is a sustainable model for this industry for a package of linear television, right, because, first of all, you're not being honest with the customer, because nobody's paying $19.99 for linear television because all the equipment fees or – by the time you add all the fees, you can add another $40 or $50 to it. So it's just not a very honest way to approach consumers, and I think consumers ultimately see through that. So I think our industry will probably move away from $19.99. I think they ultimately will probably move away from some of the heavy discounting for content, because mathematically or economically that's the only logical place you can go, once everybody gets over the sub counts delivered to the street every quarter.
Operator: Your next question comes from the line of Bryan Kraft from Deutsche Bank. Your line is open.
Bryan Kraft - Deutsche Bank Securities, Inc.: Hi. Good morning. I have a few questions; so, first on churn, it was elevated for both DBS and broadband. So wanted to see if you could talk about those trends and how you're planning to manage that back down? Wanted to also ask you about how you're thinking about the upcoming Broadcast Incentive Auctions and potential participation there? And then lastly, just on Sling, can you talk directionally about the net add trend in the third quarter relative to 2Q? Was it similar, did it decelerate, did it accelerate? Any color there would be great. Thank you.
Charles William Ergen - Executive Chairman, President & CEO: Yes, I mean – I don't really want – and if Steve or Roger want to jump in – but, in terms of the overall trends, one of the things, (25:52) day-to-day operations for a long time, but as I got back into looking at it, we were being overly aggressive to get subscribers that I didn't feel the credit, I didn't feel were going to make a long-term return for us. So we were getting subscribers, some subscribers, it did not have a positive net present value for us or had a very low net present value for us and we're probably better off spending our money elsewhere. So we certainly got more conservative on the kind of subscribers that we want and in fact we don't really take many subscribers now below at least $50 ARPU, so, and below certain credit score. So we certainly are getting a better quality subscriber today, but that certainly will impact our gross ads in our linear television, but I think it's the right thing to do long-term. And then what was the other part of the question?
Unknown Speaker: ...auction?
Charles William Ergen - Executive Chairman, President & CEO: No. As far as the incentive auction, we haven't yet decided, whether we will participate as a company or not, primarily because this auction is going to be very – first, it's a one of a kind auction, there's never really been an auction like this with a reverse auction and the forward auction, number one. And number two, this is an auction where there is a lot of impairment on the spectrum, and that impairment is kind of dynamic. And it depends on which broadcasters' licenses they give back and how the FCC repacks those licenses and frequencies. So it's a bit of a dynamic situation. And there's kind of three buckets, right? There's, what, 0% to 15% impairment, there's 15% to 50% impairment, there's over 50% impairment, and the impairment is like what we calculate, we think it's going to be, kind of, but – and so we've got to do a lot of homework to see whether we are able to model that into something where we would feel comfortable participating in the auction. I will just give you an example on that. An AWS-3 auction in the unpaired spectrum, it was the only other place that there was really impairment. The other AWS-3 spectrum was clean, or going to be clean. So and all the spectrum that we own and our DEs partners own is pretty clean spectrum. But the AWS-3 unpaired spectrum had some impairment, and there were companies that bid on that and bid hundreds of millions of dollars on permanently unpaired spectrum. Now we scratch our head as to that – as to why somebody would do that. And we don't want to be in a situation where we go to an auction and waste our shareholders' money. So that's the big thing that we are looking at. We're going to spend a lot of time on analysis, and the FCC is still providing data to potential participants on that.
Roger Lynch - CEO, Sling TV and EVP, Advanced Technologies: Last question on Sling activations; we continue to be pleased with the progress we're making in Sling on the activation front.
Bryan Kraft - Deutsche Bank Securities, Inc.: And hey, Charlie, just a follow-up; you were talking about the gross ads it sounds like and how you've tightened your requirements on bringing new customers on. But what about the churn in the quarter? Was that related because you were flushing out some of the lower quality subs?
Charles William Ergen - Executive Chairman, President & CEO: Some of that. But some of that is the seasonality and probably – churn is always past practices. It's not what you are doing today, it's what you did two years ago or what you did a year ago, and so I think there is some of that. I think some of our churn in 2015 would probably be elevated from where it otherwise might be because of past practices in 2013 or 2014 or 2012, so I think there is some of that. Having said that, one of the other things that we're looking at is that we do have customers that are unprofitable for us today, and they're unprofitable because they call multiple times during the month, they are always asking for discounts. Even if you gave them the discount they asked for, they'd be an unprofitable customer. And I think it's just smart business that over time that we wean those customers off of our service. And we've done some of that. So it doesn't make sense for us. I would rather have 13 million customers that are profitable than 13 million customers that are profitable and a million customers that are unprofitable. So for us, it's all about economics and what kind of return we're getting. And sometimes the best return you get is to let a customer go. And there's just a variety of reasons. If you have a customer that calls you 50 times a month or 30 times a month, he or she is an unprofitable customer. And everybody in the industry has those type of customers. And I have challenged our guys to make sure that we have alternatives for them.
Bryan Kraft - Deutsche Bank Securities, Inc.: Thank you.
Operator: Your next question comes from the line of Walter Piecyk from BTIG. Your line is open.
Walter Piecyk - BTIG LLC: Thank you. Charlie, in the last call, you talked about that Jason was going to look at maybe some structures that you could put your existing spectrum in, or separate your existing spectrum in. I wonder if you can update us whether there's any progress on that.
Charles William Ergen - Executive Chairman, President & CEO: I wouldn't say there's progress, because we haven't made decisions, but based on strategically where we see Sling going and where we see – what we decide ultimately to do in the incentive auction or the AWS-3 re-auction, there are potential scenarios where corporate structure might change and where it would make economic sense to change corporate structure. But there's a lot of factors in that, a lot of factors in that, and some of that's tax planning; some of that's how we could manage the business and what's the best way for us to properly manage it. And I think we feel comfortable in looking at that. And once we have all of the pros and cons of that, making a decision – which could be to stay exactly where we are, or it could be some kind of change in structure.
Walter Piecyk - BTIG LLC: Is there anything that drives specific timing on that as far as – I mean, is it going to happen when it happens? Or is it – you think it happens before the end of the year? Or like how do we think about the timing of knowing when the corporate structure, if and when, it would change?
Charles William Ergen - Executive Chairman, President & CEO: It would just happen when it happens. When in doubt, there is no doubt, you wouldn't do something. So it would take a majority of positives – it would take a lot of positives to change corporate structure.
Walter Piecyk - BTIG LLC: Great. And the investigation that Jason has done so far, is there a way to sell – to put some of the spectrum assets, not all but some, into an entity and have some greater tax efficiency than just basically booking a gain on whatever sale that would happen? Or is it too early to tell even that?
Charles William Ergen - Executive Chairman, President & CEO: Well, I would say it this way, from a tax perspective, because of the FCC payment that was made, it's less compelling from a tax situation today than it otherwise might have been. But there's other positives about different corporate structures, but I think it will be driven by strategic decisions, whether we would stay the same or do something different. Look, I think that's good management. It's something that our board of directors – it's going rise to the level of our board of directors and there's going to be a lot of opinions on it. And if the evidence is compelling that we can do something different that makes sense, then we'll do it. If the evidence is kind of 50/50, maybe yes, maybe no, I don't think we will do something.
Walter Piecyk - BTIG LLC: Got it. Greenfield's got a follow-on on the other side of the business. Thanks.
Charles William Ergen - Executive Chairman, President & CEO: It sounds like we're the only guys that take your guys' questions.
Rich Greenfield - BTIG LLC: We appreciate it very much.
Charles William Ergen - Executive Chairman, President & CEO: I don't know what that says about you guys.
Rich Greenfield - BTIG LLC: You and John Legere. Legere takes questions also, but everyone else is afraid. Thank you for taking the question. Real quick, Charlie, when you think about, if you were sitting in Jeff Bewkes' seat or in Bob Iger's seat, what should these companies be doing in terms of SVOD? Some of them seem to have gotten sellers remorse in terms of selling to places like Netflix. Some are now shifting over to focusing more on Hulu. I'm not sure how that fixes the problem, but what's your advice? What should people be doing who are running big broadcast and cable network companies?
Charles William Ergen - Executive Chairman, President & CEO: Well, the truth is, I go to Bob Iger for advice. I don't – I haven't found – he's generally more competent than me. But I would say that the biggest thing I think that the content providers should be looking at is long-term. So it's easy to get to the end of the year, end of the quarter, and sell some content out of the back door and don't think it's going to hurt your core business in the short run, and you've got kind a one quarter gain or you make your bonus – you guys all make your bonus. There's always in a company a risk of short-term decisions. The way I look at it more fundamentally is where can the – content is always going to be a valuable commodity, and where can you take content to maximize your long-term value? And I think that there's – we preach this a lot, and some people agree with us and some people don't. But we think that you can look at what Netflix has done; it was wildly successful, they took a lot of risk, they had a moral compass of where they were going, and they've been rewarded for it. But they made sure their content was available on every device, and they made sure their content, you could binge-view it, and they made their content advertising free. And they've been fairly consistent in their pricing. So that's why people have gravitated to it. And I think they're now becoming competitors to the incumbent. And so if I was an incumbent, I'd just look at what can I learn from that, and which companies are moving in that direction and how can I partner with them to get my content out in a way that people will consume it and pay me for it? And a lot of what we do at – obviously we did that with satellite TV and a lot of what Roger and his Sling TV team is doing is being an alternative for them to do that. And so I just think long-term, because it's really easy to make – fairly easy to sell $100 million of programming content to somebody, but you've got to look at it in the big picture and look at it in the total universe. But those guys are – I'd say this, that every major content company is probably going to make different decisions, and some are going to make great decisions that turn out for them long-term, and some are going to make some poor decisions. And in a vacuum, decisions are made based on their alternatives. And what we can do as a company is be an alternative for them. We have a vested interest in linear TV. We have a vested interest in advertising being part of the economic model, because we know it will reduce content cost for the customers, and we have a vested interest in people getting TV everywhere. And I think Roger's team and DISH in general have shown great leadership on that.
Rich Greenfield - BTIG LLC: Thank you.
Operator: Your next question comes from the line of Brett Feldman from Goldman Sachs. Your line is open.
Brett Joseph Feldman - Goldman Sachs & Co.: Thanks. I just want to clarify some of the math earlier around taxes. And correct me if I'm wrong, but you were talking about how you believe there's a triggering event around receiving your AWS-3 spectrum licenses from the FCC. I just want to be clear, you were referring to the opportunity to amortize those licenses I believe over a 15-year period for tax purposes, or did I misunderstand what you were alluding to?
Steven E. Swain - Chief Financial Officer & Senior Vice President: Tax can amortize licenses (38:37) for 15 years. The rights I was alluding to were granted prior to the actual licenses being issued. That was the triggering event that I was mentioning.
Brett Joseph Feldman - Goldman Sachs & Co.: Okay. And then just on the – you also mentioned you'd be capitalizing interest, and so that would obviously be increasing your taxable net income because your interest expense would be lower. I guess what I'm trying to make sure is we don't overshoot on estimating what the annual cash tax savings could be. So maybe anything you can do to help us get that right in our models would be helpful. And then just a follow-up here as we're talking about Sling; whatever the direction the numbers were in the quarter, and we all have our own estimates, it's obviously still a nascent product. And so I'm just wondering what are the conditions that you think need to be in place for Sling to become the kind of product that starts putting up net add numbers that looks like a successful mass market product? Whether it's the state of the market or the state of the product itself, I'd be really interested in hearing what you're trying to get to, to make it a real game-changer?
Steven E. Swain - Chief Financial Officer & Senior Vice President: Yes, for interest expense, real quickly, that's for book purposes to help you guys out on EPS. Tax...
Charles William Ergen - Executive Chairman, President & CEO: So our net income will be higher.
Steven E. Swain - Chief Financial Officer & Senior Vice President: Higher. Correct.
Unknown Speaker: Yes.
Steven E. Swain - Chief Financial Officer & Senior Vice President: You are 100% right on that. For tax purposes, tax will still deduct the interest expense or cash interest expense immediately.
Charles William Ergen - Executive Chairman, President & CEO: So, our tax expense would be less. Our cash outflow would be less.
Brett Joseph Feldman - Goldman Sachs & Co.: Thank you.
Steven E. Swain - Chief Financial Officer & Senior Vice President: That's right. There's no impact to the tax deduction.
Brett Joseph Feldman - Goldman Sachs & Co.: Okay. And then...
Roger Lynch - CEO, Sling TV and EVP, Advanced Technologies: Okay. So, Brett, it's Roger. Yes, on your question on Sling. I think there are a number of conditions that are necessary for continued or accelerating growth. Let me just say in OTT in general, not even just for Sling because we know there'll be competitors. One Charlie already alluded to which is can you make a live streaming OTT experience as consistently reliable as you can on linear TV, on satellite or cable? That's something that I think since we have launched, month-over-month, we've closed the gap on that, but there is still a gap. That's something that we always have to continue to improve on. And anyone who comes after us will have to go through their lumps and learning curve like we have. And as I think I've said before, streaming live television is a lot more difficult than doing VOD. You have much less margin of error when you're streaming live television. I think there are other things, too, like what happens in broadband, what happens with data caps that are certainly risks in general to OTT, to see cable companies getting very aggressive on low data caps, that could have a chilling effect both on subscriber activation and also investment. So it is a nascent business. We launched what, eight months ago, nine months ago, and we've been pretty pleased with the growth so far, but I would expect like any industry, as long as you don't have those externalities I talked about like with broadband caps, that you will see a traditional S-curve adoption, and we are not even to the first kink of that yet because it's just too new.
Charles William Ergen - Executive Chairman, President & CEO: Yes. And this is Charlie, I would add that I think – so one is technical, you have to be very good technically. Second, I think you need the user interface has to be, Sling, I would say had an A+ user interface for 20 channels, but now they've got 80 channels or 90 channels, and that user interface has got to change for people to navigate. Third, I think that there are certainly consumers, particularly, and certainly Millennial consumers who would like multiple streams and would invest in the pay-TV universe if they had multiple streams which they don't have today because they have multiple streams through Netflix and so forth. And I think there's things like network DVR and look-back rights and start over rights and dynamic ad insertion, where you have meaningful interactive ads that actually could become a positive to consumers. All those things would be positives to consumers, and it's – we'll design Sling for all those things, and then it's just conversations with more forward-thinking content providers that it's a platform they want to be on. And I think that Sling has got the core programming content providers today, there's probably room for one or two major groups to join that, but it's probably not for everybody. But I think, again, what I would say as a company, that you should think about it from an investor point of view is that our goal is to combine OTT and linear together and that we hope that our business will start to grow as a result of that, as opposed to being in a mature to declining business.
Brett Joseph Feldman - Goldman Sachs & Co.: Do you consider broadcast networks to be potentially core content?
Charles William Ergen - Executive Chairman, President & CEO: I do.
Brett Joseph Feldman - Goldman Sachs & Co.: Great. Thank you for taking the questions.
Charles William Ergen - Executive Chairman, President & CEO: Yes. Consumers have an alternative on broadcast networks, but broadcast networks have been our partners for a long, long, long, long time, so we certainly would like to provide them a pathway, if they so choose.
Brett Joseph Feldman - Goldman Sachs & Co.: Great. Thank you.
Operator: Your next question comes from the line of Marci Ryvicker from Wells Fargo.
Jason Kiser - Treasurer: We might have a mute button problem. Operator, why don't we go to the next person?
Operator: Your next question comes from the line of Ric Prentiss from Raymond James. Your line is open.
Ric H. Prentiss - Raymond James & Associates, Inc.: Yes. Thanks for taking the question. Obviously a lot has changed over the last couple of years, but looking back at a slide you guys did 2.5 years ago when you were looking into potentially buy Sprint, you had a really interesting slide talking about $24 billion of revenue synergy from bundling and cross-selling and new opportunities. (45:35 – 45:45) options and timelines if you think there's still an opportunity there?
Charles William Ergen - Executive Chairman, President & CEO: Well, actually I can't remember exactly. I know that with Sprint we had a materially different strategy on how to build our network out. I mean, our strategy really was to use our spectrum on their towers, because it'd fit on the towers from a propagation point of view. They ultimately – they obviously pursued a strategy of 2.5 GHz, which doesn't propagate exactly the same, and some new technology that they decided to use. So they went in a different direction. So I think a lot of that synergy is probably the long-term still there but certainly not in the short-term kind of framework. But I don't know exactly where Sprint is on their network build today and how much they have gone down a path that's kind of hard to put the genie back in the bottle. But we had a materially different strategy in how we would integrate Sprint and our spectrum together.
Ric H. Prentiss - Raymond James & Associates, Inc.: But if you put Sprint aside, obviously there's other carriers as well out there. So just say if the opportunity with a wireless carrier you knew was that way, are there other opportunities that are still there today that might be of interest with your strategy?
Charles William Ergen - Executive Chairman, President & CEO: Well, I think we – any of the existing wireless carriers, our spectrum fits pretty well with. Sprint's maybe less, may or may not be, I just don't know how they've done a network build. I know a lot about the other networks. And obviously, all the other providers have spectrum, they have AWS-3 and AWS-1 spectrum that propagates essentially the same as our AWS-3 and AWS-4 spectrum. So they fit really well. And obviously any current providers, if we were to partner with or do something with or lease something to, they obviously would have more spectrum than anybody else. So to the extent that somebody wanted to be aggressive and be and have more spectrum, obviously we're somebody that would probably take a look at. And there was another part of the question, too.
Unknown Speaker: (48:00).
Charles William Ergen - Executive Chairman, President & CEO: Yes, I think that AT&T DIRECTV, they're obviously in the process of still integrating that. I do think that, correct me if I'm wrong, I'm looking over at Steve, but that there was probably a little bit of – probably a little bit was in the third quarter. They put together a pretty aggressive bundling effort with AT&T and DIRECTV. There's a lot of advertising and contact and direct mail to their consumers. And that probably did affect us in third quarter. I think they were relative, I think they were successful somewhat in bundling, getting some cable and satellite companies from DISH that took a bundle from AT&T that otherwise might not have, with aggressive communication and promotions. But I think the jury's out as to how they integrate that long-term. I think there will be some positives for them. They certainly have scale in video today. So it's certainly going to be a positive for them. But ultimately, it will boil down to what their competitors do as a counterstrategy to what AT&T did. And to the extent that they counter – to the extent they do nothing, then I think it's going to be a very, very attractive acquisition for AT&T. To the extent that people did other things, there's probably strategies that could counterattack, that could counterattack that strategy and make it less of an attractive acquisition.
Ric H. Prentiss - Raymond James & Associates, Inc.: Got you. Thank you.
Operator: Your next question comes from the line of Phil Cusick from JPMorgan. Your line is open.
Philip A. Cusick - JPMorgan Securities LLC: Hey, guys, thanks. Charlie, it seems like there are a lot of conversations going on between spectrum owners and buyers with a view on a January or so deadline. Given the complexity of any deal you might do, do you see DISH doing a spectrum deal or sort of corporate structure change before that auction deadline in January?
Charles William Ergen - Executive Chairman, President & CEO: I would say the odds are greater that we wouldn't do something before the deadline than we would. But you just never know, right? My experience with deals are that people can sit around and talk about them, they're just not going to happen, but when somebody decides to do something, they move pretty quick. But there are – I agree with your statement, there are a lot of complexities around this auction that are going to take some time.
Philip A. Cusick - JPMorgan Securities LLC: Okay.
Charles William Ergen - Executive Chairman, President & CEO: And I don't think that anybody really knows exactly what this auction is going to entail, including probably the FCC. It's a courageous act on the part of the FCC to try to do it on this timeline, and I commend them for that, but it is complicated.
Philip A. Cusick - JPMorgan Securities LLC: And then just real quick, if you were to choose to bid in that auction, any idea how you would raise money for that? At what point in your capital structure?
Charles William Ergen - Executive Chairman, President & CEO: No.
Philip A. Cusick - JPMorgan Securities LLC: Thank you.
Jason Kiser - Treasurer: Operator, why don't we take one more analyst call and then we need to switch over to the media.
Operator: Your final analyst question comes from the line of James Ratcliffe from Buckingham Research. Your line is open.
James M. Ratcliffe - The Buckingham Research Group, Inc.: Thanks. Two quick ones if I could. First of all, Roger, any thoughts on offering DVR's, effectively service in Sling TV, how much of the lack of it is a limitation on the growth of the service? Or is it a technical challenge, or rights or both? And secondly, just generally, thoughts on the importance of being the front end for customers in terms of their use of OTT products given the fragmentation we are seeing across OTT services? Thanks.
Roger Lynch - CEO, Sling TV and EVP, Advanced Technologies: Can you, James – sorry, can you just clarify your second part about being the front end...
James M. Ratcliffe - The Buckingham Research Group, Inc.: Essentially, if you or somebody else needs to be essentially the consolidator of OTT services to provide a unified experience to customers regardless of whether the content they are looking for is Netflix or Amazon or Sling or what have you?
Roger Lynch - CEO, Sling TV and EVP, Advanced Technologies: Yes. Okay, all right. To your first question about DVR, I think it is something that our customers do request, and as Charlie mentioned, we have development underway on a lot of different things that could enhance the product, whether it's multi-stream or DVR, or other features and things like that. So there is nothing to announce right now, but it is something that we look at, and what we're trying to do is we're trying to follow what our customers want really and deliver what they want. In terms of your question about the front end, being the front end, I think there is – as you see more and more of these sort of segmented OTT offerings, whether it's HBO or CBS or SHOWTIME, I think you do get to a situation where it'll become more complicated for customers to assemble their bundle that they want because they may not be all on the same device as you've been. Or if they are on the same device, you have to switch between this app and that app. And so it does cause a little bit of – I think it increases the complexity for content discovery. So as you know, we have HBO within Sling TV, but we also increasingly participate with some of the devices on their strategy for content discovery. So where we'll feed them our metadata about the programming that we have so that they can also surface it not only to existing customers but to non-Sling customers. So there's a lot of people that are focused on solving that problem that I think does have the risk of getting more complicated with more fragmented OTT services launching.
James M. Ratcliffe - The Buckingham Research Group, Inc.: Thank you.
Operator: We will now take questions from members of the media. Your first question from the media comes from Scott Moritz from Bloomberg. Your line is open.
Scott Moritz - Bloomberg News: Hey, guys, thanks. Charlie, given that the odds are greater that you won't do a deal by a January deadline, how does it make you feel to be in a, kind of a sidelines position in the next several months, maybe even into summer? Does this threaten your overall strategy, or are you patient enough to hang out with that?
Charles William Ergen - Executive Chairman, President & CEO: Well, I think you answered your own question. I mean I think we are – first of all, there's a ton of stuff that we need to do regardless of doing – how we go strategically. There is just a lot of stuff that we have to do anyway. But we don't have any particular – for the most part, I hope our investors are long-term investors and people aren't trying to trade-in their stock to make a quick buck. And certainly from a management perspective, we only have five rules, but one of them is to think long-term, and I think where we as a team have thought about things long-term, it's normally paid pretty good dividends for us. And we're, (55:36) perspective, but I think, Tom, (55:37) we're six years into our wireless strategy. I think we're six years into it. Whether we go another year or two years or three years before we go in a particular direction, I don't think is that material to us. I know that there's always a lot of angst on the press and investors for things to happen, but we look at it to make – we don't make a lot of decisions, but the ones that you do make on the strategic side need to be – better have a good chance of success.
Scott Moritz - Bloomberg News: Great. And just to follow-up on that, Verizon seems to indicate that they would be interested in some sort of swap or lease arrangement. How would you characterize your talks, if any, with Verizon these days?
Charles William Ergen - Executive Chairman, President & CEO: I wouldn't care – we have private conversations with people; we're not going to talk about them on a public conference call. But look, I would think that any number of companies would be – strategically commit malpractice if they didn't look at the spectrum position that we have, because it would be a strategic advantage over their competitors. And the need for spectrum is only getting greater. The government has just – Congress has passed rule to go look for more spectrum, but I think it's 30 MHz by 2022. So there's just not a lot of spectrum in the mid-band, high-capacity spectrum that is going to be available. And so you are running – you're in the wireless business or you used wireless spectrum, you have to look at protecting yourself. And, real estate is important and spectrum is real estate. So, we're well-positioned to do something with our spectrum. We'll do something with our spectrum; it will get built out and it will – how it gets built out and whether we do it with somebody else or whether somebody else buys it and leases it and builds out, remains to be determined.
Scott Moritz - Bloomberg News: Thanks.
Charles William Ergen - Executive Chairman, President & CEO: But, the alternative for us would have been to do what DIRECTV did, which was just to buy back our stock and sell the company, sell our video business to a company, and we decided to take a longer-term strategic view of that.
Scott Moritz - Bloomberg News: Cool. Thank you.
Operator: Your next question comes from the line of Shalini Ramachandran from Wall Street Journal. Your line is open.
Shalini Ramachandran - The Wall Street Journal: Hey, Charlie, hey, Roger. Quick question for you, two things; the first one is if the cable companies do end up getting into wireless or sort of a Wi-Fi First service, how does that affect DISH's competitive prospect, if happens in the next year or so? And then secondly, there's a lot of interest around Viacom in your upcoming contract renewal. How are those talks going, and is there a chance the two sides decide to part ways?
Charles William Ergen - Executive Chairman, President & CEO: In answer to your second one, Viacom has been a long-term partner, so it'd take a lot for us not to do a deal with them, but they have to be realistic that their ratings have deteriorated over the last three years or four years in some cases in a material way. And if the world has changed somewhat, and to the extent that we are given a fair deal, I think, and there's a reality embedded in that deal, I think we'll get a deal done with them. That certainly – my challenge to our team is look for every reason that you can do a deal with Viacom. And we're not really looking at the – internally, we're not looking at the alternative of not doing a deal with them. It's just that we know what your measurement is; we know within our consumer base, what people watch and place a value on. We know there's alternatives for their product today that weren't there three years ago or four years ago. You can get kids programming on YouTube and Netflix and it's quite good, and some of it's even Viacom product. So the world has changed a little bit, but on the other hand, they have great content. They still are a big part of what we have done, and they've helped us. I think we are a pretty loyal company. They've helped us be successful, so it would take a lot for us to not do a deal, but those things can happen. What was the other question?
Unknown Speaker: Wi-Fi First.
Unknown Speaker: Wi-Fi First.
Charles William Ergen - Executive Chairman, President & CEO: Oh. The cable industry – that's probably a better question for the cable industry. But I think a lot will – first there's consolidation in the industry. And is that allowed to take place, or not, and if so, are there conditions and what are those? But I think the cable industry is potentially poised to be a serious competitor in the wireless industry. And they certainly have the ability to certainly put their toe in the water and just do an MVNO deal. And they have had – the cable industry has had stumbles in the past in the wireless industry. In fact they've sold out of it, right? So whether you jump back in again with both feet or maybe look at the MVNO deal and see how it goes remains, they have a lot of options as to what they may or may not do. To the extent that they got in the industry, obviously it would put pressure on the incumbents, and certainly put spectrum pressure on the incumbent.
Shalini Ramachandran - The Wall Street Journal: And how – does it affect DISH's...
Charles William Ergen - Executive Chairman, President & CEO: I feel like we're pretty well – I think we're positioned pretty well.
Shalini Ramachandran - The Wall Street Journal: All right. Thank you.
Charles William Ergen - Executive Chairman, President & CEO: Yes, pretty well.
Operator: Your next question comes from the line of Alex Baird from Political (61:55). Your line is open.
Unknown Speaker: Hey, guys. Thanks for taking our calls. You recently came out against the Charter-Time Warner Cable merger. Should we expect similarly aggressive push back to that deal that we saw with the Comcast deal, where you launched what was ultimately a successful coalition to block that merger? I guess basically the question is do you see the Charter deal as just as problematic as the Comcast deal, or are there different levels there and is there anything that could be done to alleviate those concerns, I guess?
R. Stanton Dodge - Secretary, Executive VP & General Counsel: Yes, this is Stan. We see them as pretty darn similar. Although, obviously, there are less ultimate broadband subscribers involved in the Charter-Time Warner consolidation, but the fact of the matter is this merger also has additional concerns that the Comcast didn't, which is you still have Comcast out there. And the two, Comcast and the Charter-Time Warner with parallel action, not necessarily concerted action, could be just as damaging to the consumers. So that's why we're opposing the transaction.
Charles William Ergen - Executive Chairman, President & CEO: And the details are pretty similar in the two cases. I mean, the one difference is that Charter doesn't own NBC.
Unknown Speaker: Right.
Charles William Ergen - Executive Chairman, President & CEO: So other than that, it's the exact, if you look at what the FCC and the Justice Department said, there's nothing about the Charter deal that varies from that to be allowed. But as we know, Washington picks winners and losers. And so I'm sure that Charter is well aware of that, and they'll spend a lot of time getting their deal done. So...
R. Stanton Dodge - Secretary, Executive VP & General Counsel: Yes, and keep in mind, between Comcast and then a combined Charter-Time Warner, those two sets of companies control 90% of the high-speed broadband connections in the United States as defined by the FCC at 25 megabits or more.
Charles William Ergen - Executive Chairman, President & CEO: Which essentially means consumers have one choice for broadband. And broadband has become an – you only have one choice for electricity, but that's regulated. And so an unregulated market where you really only from a platform reason (64:07) only have one choice for broadband is a serious issue, and something that this administration has been very focused on. But it will have repercussions throughout the industry for sure either way that they decide.
Unknown Speaker: Sure.
Operator: Your next question comes from the line of Jimmy Schaeffler from Carmel Group. Your line is open.
Jimmy Schaeffler - The Carmel Group: Hey, good morning, and thanks for taking the call. Charlie, a question for you; you've been pretty good in the past about addressing future vision. And can you address the future vision of bringing the traditional linear one-way content distribution of 14 million subs on the one hand together with a two-way system tied to DISH's AWS, H Block and 700 MHz spectrum on the other? In other words, where is the fit, and what would be some of the new advantages that would come from, let's call it, that new connectivity? How do you integrate the two?
Charles William Ergen - Executive Chairman, President & CEO: Well, it certainly, I believe, is a path of where video is going to go. In China already, the vast majority of viewing minutes are on mobile devices for video. So if you're a content company, you just can't – again, it would be malpractice to put your head in the sand and not think about how you're going to get on mobile devices. And of course, the advertising for mobile devices is now close to 80% of Facebook's revenue, and it was 0% three years ago. So all the trends are moving in that direction, Jimmy, and obviously one of our visions to get in this was to use our spectrum for video because it's, again, high-capacity spectrum. So I think some companies will see it, get there sooner than others and they'll set the rules. I don't think you want to be a follower in that. And we have – the way I'd say it is we have some of the building blocks of that in terms of we have technology, we have spectrum, and we have video customers and we have an in-home installation network. We have encryption. We have billing, we have customer service, so we have a lot of the building blocks, but we don't have all the building blocks. We don't have things like backhaul and Wi-Fi and things that the cable industry has. And no one company today has all the building blocks. So AT&T is probably closer today than they were before the DIRECTV acquisition. So we just think that ultimately that's going to sort its way out. And typically what happens is something happens in the industry and somebody makes a move and somebody starts gaining market share because of it, and the other people have to react to it. And whether we're on the front end of that or the back end of that, I'd much rather be on the front end of that; but whether that happens or not, I don't know.
Jimmy Schaeffler - The Carmel Group: Great. Thanks.
Jason Kiser - Treasurer: All right, operator, we have time for one more.
Operator: There are no further questions at this time.
Charles William Ergen - Executive Chairman, President & CEO: Okay. Thank you all. See you next year.
Operator: This concludes today's conference call. You may now disconnect.